Operator: Good morning. My name is Mike, and I will be your conference operator today. At this time, I would like to welcome everyone to the Oceaneering 2016 Second Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I will now turn the call over to Suzanne Spera, Director of Investor Relations. You may begin your conference.
Suzanne M. Spera - Director-Investor Relations: Thanks, Mike. Good morning, and welcome to the Oceaneering second quarter 2016 results conference call. Today's call is being webcast and a replay will be available on Oceaneering's website. Joining us on the call are: Kevin McEvoy, Chief Executive Officer, who will be providing our prepared comments; Rod Larson, President; Alan Curtis, Chief Financial Officer; and Marvin Migura, Senior Vice President. Before we begin, I would just like to remind participants that statements we make during the course of this call regarding our future financial performance, business strategy, plans for future operations, and industry conditions are forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Our comments today also include non-GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP financial measures can be found in our second quarter press release. We welcome your questions after the prepared statements. I'll now turn the call over to Kevin.
M. Kevin McEvoy - Chief Executive Officer & Director: Good morning and thanks for joining the call today. The challenging offshore market environment we were enduring has not changed since we last spoke with you in April. For the second quarter, we reported EPS of $0.23. These results include $7 million of bad debt expense and foreign currency exchange losses. Excluding these items, adjusted EPS of $0.27 was in line with consensus. Sequentially, quarterly operating income declined 20% on reduced profit contributions from Subsea Products and Remotely Operated Vehicles with slight increases in Subsea Projects and Advanced Technologies and lower unallocated expenses. Without the impact of the $5.8 million of bad debt expense, adjusted operating income was down 8% sequentially. Despite the ongoing market conditions, we are pleased that each of our operating segments remained profitable, excluding the negative impact of the bad debt expense recorded primarily in Asset Integrity. Relative to our peers, overall EBITDA margin of 15% is noteworthy. Now, turning our attention to our outlook; we are expecting the second half of 2016 to be weaker than our first half. In light of uncertain commodity prices, customers continue to postpone capital investment decisions and curtail operating expenditures. This results in reduced demand for our services and products. While much has been written about the increase in oil prices during the second quarter, this is not yet translated into increased offshore activity. We believe that our customers are changing their mindset towards increasing CapEx and OpEx, but they are waiting for a more sustained improvement in oil prices before increasing activity levels. For our ROV segment, we are expecting a lower operating income contribution during the second half of this year due to less utilization and lower average revenue per day on hire. However, much depends on the number of floating rigs working during the remainder of the year and on the level of vessel-based inspection maintenance and repair, or IMR, activity undertaken. We expect to see declining demand for drill support as 29 of the 101 rigs with Oceaneering ROVs onboard at the end of June have contract terms expiring during the balance of the year, and the future work prospects for all rigs with expiring contracts remains questionable. To mitigate the impact of our results due to lower anticipated utilization and pricing, we have recently taken further steps to align our cost base and expect lower average daily cash costs in the second half of 2016 relative to the first half. With respect to our Subsea Products segment, we have integrated our operations into two business units to improve organizational efficiency: Manufactured Products and Service and Rentals. The Manufactured Products business unit includes production control umbilicals and specialty subsea hardware, while the Service and Rental business unit includes tooling, subsea work systems, and IWOCS, or installation and workover control systems. Just to be clear, this internal reorganization in no way affects the segment reporting structure or historical comparability of results. For the remainder of this year, our Subsea Products outlook is for lower throughput and single-digit margins, primarily from Manufactured Products, while Services and Rentals are expected to remain flat. For Subsea Projects, we're expecting some seasonal increase in Gulf of Mexico activity and a reduction of our vessel fixed costs when the Olympic Intervention IV charter obligation expires in July. These factors, however, are not expected to be enough to offset the reduced scope of work in Angola, which included the early release of the Bourbon Oceanteam 101 from its field support services contract with BP that occurred at the end of May. For Asset Integrity, we expect the reported results for the second half of 2016 to be slightly up, as the first half included a $3.3 million bad debt provision. Global demand for inspection services remains subdued as customers continue to defer expenditures whenever possible. For our non-Oilfield segment, Advanced Technologies, we expect increased demand and improved execution on theme park projects to generate improved earnings. Having said all of that, we anticipate our third quarter 2016 results to be lower when compared to the second quarter, predominately from reduced volume and lower margins in Subsea Products. We anticipate other segments to be relatively flat with the second quarter adjusted results. I'd now like to review our second quarter operations by segment. Sequentially, ROV operating income was down resulting primarily from a 6% decline in average revenue per day on hire due to lower pricing and a shift in geographic mix. Lower operating margins can be partially attributable to depreciation becoming a higher percentage of revenue during periods of low utilization and pricing. During the second quarter, ROV depreciation and amortization equated to 24% of revenue. If you add back the depreciation and amortization to our operating income, you will find that our ROV EBITDA margin for the second quarter compared reasonably well to the EBITDA margin for all of 2015. For the second quarter, ROV fleet size of 318 vehicles and utilization of 55% was unchanged from that of the prior quarter. Fleet mix during the quarter was 68% in drill support and 32% on vessel-based work compared to a 69%-31% mix last quarter. At the end of June, we held our drill support market share essentially flat compared to the prior quarter. We had 114 ROVs on 101 contracted floating rigs, or 58% of the 174 floating rigs under contract. In spite of the current shrinking available drill support market, we remain focused on maintaining our market share of ROVs on contracted rigs and placing more ROVs on high-specification third-party vessels, as demonstrated by our recent arrangement with Heerema Marine Contractors. Under the Heerema arrangement, we will provide ROVs and subsea tooling aboard Heerema's deepwater construction vessels and semi-sub crane vessels on a global basis through 2020. Turning to Subsea Products. Operating income declined as expected, due to a combination of lower margins realized on Manufactured Products as we processed backlog and new orders with lower pricing, and reduced demand for Services and Rentals, which is more short cycle or call-out in nature. Our Subsea Products' backlog on June 30 was $503 million compared to our March 31 backlog of $576 million. The backlog decline was primarily related to Manufactured Products. Year-to-date, our book-to-bill ratio was 0.61 and, for the trailing 12 months, it was 0.77. The Subsea Projects' operating income increased mainly due to lower regulatory vessel inspection expenses and additional revenue as the Ocean Alliance returned to work after a scheduled dry-docking. Asset Integrity operating income declined primarily due to the bad debt expense recognized during the quarter. For our non-Oilfield segment, Advanced Technologies, operating income was higher due to increased engineering services and support for the U.S. Navy. Unallocated expenses were lower during the second quarter compared to the prior quarter due to reductions in performance-based incentive compensation expenses. During the quarter, we generated $97 million in EBITDA, increased our cash position to $393 million, and have $500 million available under our revolving credit facility which does not expire until October 2020. We believe this provides us the financial flexibility, not only to operate through the cycle, but invest in Oceaneering's future and return capital to our shareholders. Our cash priorities have not changed for some time. Our number one priority remains growth via organic CapEx and bolt-on acquisitions. Our second priority is to return cash to our shareholders by paying a quarterly dividend and, possibly, repurchasing shares. Capital expenditures for the quarter totaled $38 million, most of which was invested in our ROV and Subsea Products segments. We are lowering the organic capital expenditures estimate for the year to a range of $100 million to $150 million including $65 million in maintenance capital and some uncompleted project CapEx carried over from 2015. The revised estimate adjusts for spending that has slipped into 2017 related to the delivery of our Jones Act-compliant multi service support vessel, the Ocean Evolution, which we now anticipate in the second quarter of 2017. Looking forward, we envision our 2017 CapEx could be considerably lower than our 2016 estimate. During the second quarter, we paid $26 million in cash dividends and, yesterday, our board maintained the current dividend rate and declared a $0.27 per share dividend to be paid during the third quarter. Payment of future cash dividends will remain at the discretion of our Board of Directors. Now, I'd like to wrap up by referring back to the first sentence of my prepared remarks. The challenging offshore market environment we were enduring has not changed. At Oceaneering, we remain focused on the things we can control or at least influence. We are driving operational performance by improving execution and taking actions that tailor costs and resources to match our current demand profile. We are proactively working with our customers on developing cost-effective and efficient solutions through earlier engagement in project planning and standardization that may enable more projects to progress despite a low commodity price. And we will remain focused on maintaining our market position while working to preserve the core capabilities of the company. Longer term, deepwater is still expected to play a critical role in the global oil supply growth required to replace depletion and meet projected demand. I'll now be happy to take any questions.
Operator: Your first question is from Marc Bianchi with Cowen.
Marc Bianchi - Cowen & Co. LLC: Hey. Good morning. On the – just the outlook for the ROVs here in the back half, appreciate that you're offering a little bit of direction here. How do we think about the utilization there? Is it something that can stay above 50% or just kind of curious how you're thinking about the utilization shaping up?
M. Kevin McEvoy - Chief Executive Officer & Director: Well, I mean, it certainly could stay above 50% but it could also go down. I mean, there's two variables here that are still somewhat opaque, the first being obviously drill rigs and the ending of contracts and whether they'll continue. And so, that is one big piece we'd see as a potential for further decline before that starts to stabilize and potentially go up. The other big variable, of course, is vessels and utilization on vessels themselves is a question mark in this pretty invisible at this point in terms of the short-cycle type work that is around the world on the vessels that we have ROVs on. So, those two variables are still very directly related to activity that is still somewhat stagnant because of the oil price. And so, until we see movement there, it's pretty hard to give any better prediction than the direction that we see. Obviously, I think, the expectation is that we're nearing the bottom of the rig decline. I think, there's still a little bit to go, but not a lot, and I think that would be a good sign.
Marc Bianchi - Cowen & Co. LLC: Okay. Maybe – you've got this Heerema project that you've been able to achieve. How does that benefit? And maybe if you could quantify, to some extent, and offer some comments on the timeline.
M. Kevin McEvoy - Chief Executive Officer & Director: Well, I mean, it is only nine ROVs and it is going to be – mobilizing these ROVs are going to take place in the latter half of the fourth quarter this year and into the first quarter of next year; and this is project work, and so utilization is going to play a big part. So, I would not look at this as some movement that you're going to be able to see. I would think about it more in terms of being a buffer against the declines that we've been seeing in the business but maybe, more importantly, it is a reflection of our efforts to try and get positioned for the upturn by having ROVs on high-specification assets that will be the first ones going to work. There is project work scheduled for the Heerema vessels in 2017 and beyond and so that's where we wanted to be, in position to take advantage of that.
Marc Bianchi - Cowen & Co. LLC: Okay. Thanks for that. Maybe just – if I could one more on the FX and bad debt. Can you offer some commentary on how that was allocated within the segments?
Alan R. Curtis - Chief Financial Officer & Senior Vice President: Yes, Marc. We noted that the Asset Integrity group had about $3.3 million. The other components were: within Subsea Products, we had about $1.8 million; ROV accounted for $0.5 million; and about $100,000 in Projects; and we had a little bit of rounding there, took it all up to $5.8 million. ForEx is about $1.2 million for the quarter which primarily related to our Angolan balances.
Marc Bianchi - Cowen & Co. LLC: Got it. Okay. Thanks. I'll turn it back.
Operator: The next question is from Ole Slorer with Morgan Stanley.
Ole H. Slorer - Morgan Stanley & Co. LLC: Yeah. Hi there. Just a quick one on unallocated expenses. I'm sorry if you went through this, I didn't quite catch it. It came down quite a bit this quarter. How should we think about modeling that for the next couple of quarters?
Alan R. Curtis - Chief Financial Officer & Senior Vice President: Yeah. Well it is down. When you look at the unallocated expenses, you're aware a lot of that pertains to our incentive compensation plans, which we have a short term and a long term and our long term goes over a three-year vesting period. So, a lot of what you saw also in Q4 of last year and again in Q2 of this year is we look at our forward forecast, we go in, make adjustments to our long-term incentive plans at that point in time. And so in Q2, when we looked at the forward forecast, we made an adjustment that impacted Q2, pursuant to our long-term, and we still have a short-term plan that is pursuant to our 2016 bonus scheme that we adjusted slightly as well. When you start looking at how to model it going forward, looking at unallocated expenses, I think if you look at the second half, I would say it'd be slightly above the first half and probably more evenly split between the quarters. I'm not modeling to put anything in as far as a correction at this point in time to either quarter.
Ole H. Slorer - Morgan Stanley & Co. LLC: Okay. So, model something in the low, mid-20s for the next couple of quarters?
Alan R. Curtis - Chief Financial Officer & Senior Vice President: Perfect.
Ole H. Slorer - Morgan Stanley & Co. LLC: And on Heerema, is this all new incremental work for you or do you already have a relationship with Heerema but this is more of a formalizing your relationship?
M. Kevin McEvoy - Chief Executive Officer & Director: No. This is new work. We have historically had worked with Heerema in the past, but in the last several years, we had not been supporting their operations. So, this is new work for us.
Ole H. Slorer - Morgan Stanley & Co. LLC: And I noticed also that one of your, kind of, competitors closed its doors in the Gulf of Mexico just recently, really more for well intervention. But are you seeing any signs that supply boat operators and others are pulling out of segments where you traditionally have played the bigger role? I mean, we saw Tidewater go into that with the ROVs. We've seen others go into well services, and I would imagine that some of these companies, given current capital constraints, might be reevaluating, so to speak.
M. Kevin McEvoy - Chief Executive Officer & Director: Well, I think some of the vessel companies that more recently tried to get into the intervention business, more particularly like Harkand and Hallin Marine and some others (19:36) and those – I mean, those obviously are not surviving in that business. But there are probably a couple out there that may not be able to stay in it just because of cash flow constraints and liquidity, but as a general market condition, I wouldn't say that there's a lot of people exiting. I mean, everybody is trying to survive, especially the boat folks, by stacking assets and whatnot, and so there certainly is that continuing to go on.
Ole H. Slorer - Morgan Stanley & Co. LLC: Yeah. And I just heard about FTO maybe shutting down and there's been a JV (20:09) between a couple of boat operators, were there any more signs...?(20:13)
M. Kevin McEvoy - Chief Executive Officer & Director: We've heard that rumor, but I don't know any facts about that.
Ole H. Slorer - Morgan Stanley & Co. LLC: Okay. Finally, just on Angola. So, you had three vessels last year, you're down to one now. Is that what we should model for the next, say, several quarters? Are there any – Angola can be a difficult country for a variety of reasons to get your head around, but you said BP will use one vessel? Do you think that's the way we should think about it?
M. Kevin McEvoy - Chief Executive Officer & Director: Yes.
Ole H. Slorer - Morgan Stanley & Co. LLC: Okay.
M. Kevin McEvoy - Chief Executive Officer & Director: I would.
Ole H. Slorer - Morgan Stanley & Co. LLC: Thank you very much. I'll hand it back.
M. Kevin McEvoy - Chief Executive Officer & Director: Sure.
Operator: The next question is from Waqar Syed with Goldman Sachs.
Waqar Syed - Goldman Sachs & Co.: Thanks. Kevin, in the past, you mentioned that you would reconsider dividends if they fall below the EPS line. Could you clarify that position now? What's the current position of thinking on dividends? You're still generating free cash flow, balance sheets looks reasonably healthy. So how, are you thinking about dividends going forward?
M. Kevin McEvoy - Chief Executive Officer & Director: I don't think the position has changed. I'll let Alan give a more complete answer.
Alan R. Curtis - Chief Financial Officer & Senior Vice President: Okay. Thank you, Kevin. The dividend policy, our philosophy still remains unchanged. First thing we're going to look at is obviously earnings. Secondly, the projected earnings. Third one will be cash flow that we discuss with our board, as well as our liquidity position in time. So, we remain steadfast in that. We'll continue to meet with our board on a quarterly basis and make that determination that point in time.
Waqar Syed - Goldman Sachs & Co.: Okay. And then on the ROV business side, what do you think where the bottom in margins could be in terms of EBIT margins?
Alan R. Curtis - Chief Financial Officer & Senior Vice President: I don't think we can answer that.
Waqar Syed - Goldman Sachs & Co.: Okay. Thank you very much.
Operator: The next question is from Jim Wicklund from Credit Suisse.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Good morning, guys. First of all, Kevin, congrats to you and your team for managing the company in this market as well as you have and your straightforward approach with us. You guys are a class act. Unfortunately, we trade stocks instead of people and companies, but on company and people part, you win.
M. Kevin McEvoy - Chief Executive Officer & Director: I knew there was going to be a but there, Jim, but go ahead.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): But – always, always, always. Bad debt seemed to hit across the board. You got us rattling off all the places where you had bad debt, and usually it's like Venezuela or one company. So, this is a pretty broad bad debt run for you guys. Is this an indication of the health of the whole supply chain and when did you last see it this broad?
Alan R. Curtis - Chief Financial Officer & Senior Vice President: No, Jim. This was really – the lion's share of this was one customer that we had. And so, I wouldn't characterize it as across the whole spectrum. It was one primary customer we had, and then we had one smaller customer as well, we took a reserve on.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Okay. So, that's a positive then. I like that. Okay. Second question, you guys have a business plan the next few years with some base case and mid case and high case. Kevin, do you guys stay cash flow positive in your base case?
M. Kevin McEvoy - Chief Executive Officer & Director: Jim, we're not going to make those kinds of predictions...
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): No, I mean, that just goes to – I could say, do you think you'll ever go cash flow negative, but that's a question you can't answer. I'm just wondering, you guys have a business plan, (24:06) and can you envision, according to the business plan you have, or I'll just ask you, do you think, do you think you can stay cash flow positive every quarter through the down cycle?
Marvin J. Migura - Executive Vice President: Jim, this is Marvin. Yeah. At this moment in time, our crystal ball is as fuzzy it ever has been, but...
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): I understand. I understand.
Marvin J. Migura - Executive Vice President: But...
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): But you still...
Marvin J. Migura - Executive Vice President: But...
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): ...have a crystal ball...
Marvin J. Migura - Executive Vice President: Okay.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): ...and you still have a business plan on file with the board, so I'm just talking about from that perspective.
Marvin J. Migura - Executive Vice President: We see our cash flow and our liquidity as being a strength of the company, and we do not see going cash flow negative.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Thank you very much. I appreciate it, guys. Thanks for the help.
Operator: The next question is from Sean Meakim from JPMorgan.
Sean C. Meakim - JPMorgan Securities LLC: Hey. Good morning. I was hoping to touch a little more on the Subsea Products. You mentioned that you're expecting margins to continue to trend lower the rest of the year, perhaps single-digit levels. As you think about 2017, what levers do you have to pull, just thinking about perhaps visibility in your backlog pricing that could help or additional cost measures, just how you're thinking about looking to improve those margins given your current outlook for next year?
M. Kevin McEvoy - Chief Executive Officer & Director: Well, for 2017, I mean, it's going to be all about getting backlog to replace what we're burning through right now. And at each of our plants, we are continuing to adjust manpower resources with the decline in backlog and expectation for anything new. FIDs are pretty topical. Umbilicals are – and the connection hardware that go with them are really the single hardware piece generally that we contribute to CapEx stuff. So, we're certainly hoping that the brownfield tieback part of the market that everybody's talking about actually come to pass because if it happens a lot quicker and that would be really good. But FIDs are going to be somewhere down the road from the time they pull the trigger to where we would get the opportunity to get an order. So, that is a big question mark. But to reiterate, we are adjusting our cost basis in our two primary plants along with the backlog execution and work that we potentially see coming. That's a challenge like it will be for anybody in manufacturing in the subsea arena.
Sean C. Meakim - JPMorgan Securities LLC: No. That's absolutely fair. So, then just maybe – I'm not sure if I heard you right, so just looking to clarify. You talked about not having much line of sight on the Service and Rental side of the Products business.
M. Kevin McEvoy - Chief Executive Officer & Director: Yeah.
Sean C. Meakim - JPMorgan Securities LLC: Could you maybe elaborate on that a little bit for us?
M. Kevin McEvoy - Chief Executive Officer & Director: Well, I mean most of these OpEx things, I mean, they're – the things that really make the money for us are interventions generally, and they are not planned events. And so, there isn't any big visibility for it until the phone rings and the customer says, hey, I've got a problem. Can you help me? And so, that's why we characterize that as short cycle and we don't have good visibility because there's no business plan out there from the oil company side that says that they're going to have to do this because they don't know it's going to happen. And these are things like subsea control module goes out, it has to be replaced, or a flow line hydrates up, or they need some acid stim job because of reduced production rates or those kinds of things.
Sean C. Meakim - JPMorgan Securities LLC: So, I guess then just to clarify, are you suggesting that – it's a short cycle business, therefore, historically visibility is low or there's a delta versus maybe prior cycle versus today, there's less visibility?
M. Kevin McEvoy - Chief Executive Officer & Director: There is no change in the visibility. The only change – in that part of our business, the only change is that there is a lot less going on. And so, it's hard to predict any sort of trend rate or anything. It's just the phone call data points. There was just as little visibility in 2014 and before. It's just that there was a run rate trend that we could count on and that's how we did our projections, but right now, it's pretty difficult.
Alan R. Curtis - Chief Financial Officer & Senior Vice President: The phone kept ringing.
Marvin J. Migura - Executive Vice President: The phone rang a lot more.
M. Kevin McEvoy - Chief Executive Officer & Director: Yeah.
Alan R. Curtis - Chief Financial Officer & Senior Vice President: As the sample rate drops, the variability increases.
Sean C. Meakim - JPMorgan Securities LLC: Got it. Okay. That's fair. And then just one more I was hoping to talk about on Heerema. Just maybe if you could expand a bit on potential opportunities, kind of, leveraging off that agreement. Technip has an alliance with Heerema, are there other opportunities that you can leverage off this existing agreement and then perhaps just any other – the broader opportunity set for these types of alliances given your focus on trying to expand in the third-party vessel market?
M. Kevin McEvoy - Chief Executive Officer & Director: Well, I mean, first of all, with regard to leveraging off of the Heerema contract that we had been awarded. I mean, this is – to put it simply, ROV assets placed on construction assets that will get to work whatever projects that Heerema has got. So, there may be some increases related to the amount of tooling required for a particular project or not but, more broadly, as we've said earlier, I think this is an example of what we are trying to do. There are other opportunities that we are chasing and, hopefully, we'll be able to talk about those at a future date. But, I mean, it's all about getting into position for the upturn as opposed to viewing a particular contract or even a two or three contracts as being a turning point for our business.
Alan R. Curtis - Chief Financial Officer & Senior Vice President: And I would not extrapolate our relationship with Heerema into extending it into relationships that they have with others.
M. Kevin McEvoy - Chief Executive Officer & Director: Yeah.
Alan R. Curtis - Chief Financial Officer & Senior Vice President: Particularly...
M. Kevin McEvoy - Chief Executive Officer & Director: For sure. I mean, these are ROVs on very particular assets and that's what we're going to be doing.
Sean C. Meakim - JPMorgan Securities LLC: Understood. Very helpful. Thanks a lot.
M. Kevin McEvoy - Chief Executive Officer & Director: Yeah.
Operator: The next question is from Blake Hutchinson from Howard Weil.
Blake Allen Hutchinson - Scotia Howard Weil: Good morning, guys.
M. Kevin McEvoy - Chief Executive Officer & Director: Good morning.
Blake Allen Hutchinson - Scotia Howard Weil: Hey. First of all, Kevin, just from your prepared remarks, you mentioned that the implied pricing that we see in the ROV segment decline was mainly geographic mix influence. Can you just give us a little background color on that and is that the – that the case is more mix than pure pricing?
Alan R. Curtis - Chief Financial Officer & Senior Vice President: Yes. We saw it as more of a mix issue geographically and that what we saw was more the North Sea vessels days that we brought onboard did not offset some of the production that occurred in West Africa and the Gulf of Mexico.
Blake Allen Hutchinson - Scotia Howard Weil: Okay. Great. That's exactly what I was looking for. And then, one of the things – you talked a little bit about margin impacts of pricing and a product in backlog as well as the Service and Rental business as impacting product margins in 2Q. There was no real mention of kind of under-absorption. I guess as we look at your backlog run off in terms of under-absorption of the umbilical manufacturing business, I mean, the reality is that more of a 2017 issue, or will you be kind of grappling with that, you think, in the back half of the year?
Alan R. Curtis - Chief Financial Officer & Senior Vice President: That's a second half issue that Kevin was alluding to in his prepared comments.
Blake Allen Hutchinson - Scotia Howard Weil: Okay. Yeah.
Alan R. Curtis - Chief Financial Officer & Senior Vice President: Yeah.
Blake Allen Hutchinson - Scotia Howard Weil: Okay. And then, I guess, finally, as we look at the Subsea Projects business, can you give us a little help in terms of actual active vessel days, was 2Q pretty comparable to 1Q or are we just starting to see the effects of pricing kind of counteracting what would typically be a seasonally improved environment in Q2 and Q3?
M. Kevin McEvoy - Chief Executive Officer & Director: There may be a little fleet mix there, but I think generally the Gulf of Mexico activity has been holding up, it's just that pricing and margins are – continue to be very, very competitive. And so, I think relative to the market, we're doing pretty well on utilization. I mean, obviously, we would like to see demand pick up and that should help pricing a little bit, but that's really the main issue right now.
Blake Allen Hutchinson - Scotia Howard Weil: Great. Thanks. Appreciate the time, guys.
M. Kevin McEvoy - Chief Executive Officer & Director: Sure.
Operator: The next question is from Matt Marietta from Stephens, Inc.
Matt Marietta - Stephens, Inc.: Hey, guys. Good morning. Thanks for taking the questions.
M. Kevin McEvoy - Chief Executive Officer & Director: Sure.
Matt Marietta - Stephens, Inc.: So, the ROV trajectory obviously sounds down; utilization, a lot of unknowns. You won't give us the margin guess. So, let me just try to take a stab here on something else. I mean, as you talk about pricing sequentially in day rates and ROVs, it's a little bit steeper in the second quarter than from the first quarter, obviously, than the first quarter from the fourth quarter. How can we think about – I'm trying to get a sense here for as rigs roll off coincident ROV contracts may roll, kind of, what the magnitude may be of potential further steps down there in the ROV day rates looking forward?
Alan R. Curtis - Chief Financial Officer & Senior Vice President: I think it's really going to be dependent on where the work is taking place. I mean, that's one thing we experienced this quarter. We just discussed was the mix in where the assets are working is going to impact that day rate quite a bit as well.
Matt Marietta - Stephens, Inc.: So, I mean, based on...
Marvin J. Migura - Executive Vice President: We said it's going lower and we're not prepared to quantify.
Matt Marietta - Stephens, Inc.: Okay. Is it fair to think that the step down in the second quarter is perhaps repeatable from a percentage basis?
Alan R. Curtis - Chief Financial Officer & Senior Vice President: I wouldn't use that as a trajectory.
Matt Marietta - Stephens, Inc.: Okay.
Marvin J. Migura - Executive Vice President: You would not?
Alan R. Curtis - Chief Financial Officer & Senior Vice President: I would not.
Marvin J. Migura - Executive Vice President: Would not.
Matt Marietta - Stephens, Inc.: Okay. And I guess maybe coming at this a different way, are you able to help us kind of get an idea of how much lower the current spot market is than the current average? Just so we can kind of get a sense for what that may look like.
Alan R. Curtis - Chief Financial Officer & Senior Vice President: It would be hard for us to give you that because there really isn't much spot market right now. Until we see some of the rigs that are not working go to work and we start to see some of that work be rebid, there's not enough data points to really give you a spot market price.
Matt Marietta - Stephens, Inc.: Okay. Well...
Marvin J. Migura - Executive Vice President: And vessel market days are so dependent, as Alan said, on geographic location. The North Sea in kroner or in sterling is a lot lower than what we were getting on the rigs. And that shift, while we got the same number of days, the average revenue per day on hire was determined by lower pricing but significantly influenced by geographic shift in days.
Matt Marietta - Stephens, Inc.: Got you.
Marvin J. Migura - Executive Vice President: I don't think we can say any more than that.
Matt Marietta - Stephens, Inc.: Well, I appreciate. I tried. And that's all out of me.
Marvin J. Migura - Executive Vice President: Thank you. (36:15)
Operator: The next question is from Joe Gibney with Capital One.
Joseph D. Gibney - Capital One Securities, Inc.: Thanks. Good morning, guys. Just a couple of quick clarifications. On the Ocean Evo, the delivery now into 2Q, was this just something you guys deferred this out a little bit more just hoping to market it into sort of a better window of time seasonally or anything going on with the yard there? This vessel was getting pretty close to delivery. Just any color there would be helpful. Appreciate it.
M. Kevin McEvoy - Chief Executive Officer & Director: Yeah. It's a really a yard issue. They got behind schedule. And so, I was just down there earlier this week and they seem to be tracking a lot better against milestones and everything. But we really are hoping to have the delivery take place when we're currently expecting it because we definitely want to get the vessel into the market for the summer season next year.
Joseph D. Gibney - Capital One Securities, Inc.: Okay. And then in terms of what the CapEx slipover from that, I believe, your full year on that in 2016, the expectation was around $40 million. Do you think you can quantify how much of that is now pushing?
Alan R. Curtis - Chief Financial Officer & Senior Vice President: Yeah. Approximately $20 million.
Joseph D. Gibney - Capital One Securities, Inc.: Okay. All right. Thanks. And just one last clarification on some of your products margin guidance. I apologize if I missed this. But the single-digit percentage margins, were you specifically referring to Manufactured Products or you're referring to the segment as a whole? Just if you could characterize that. I missed that earlier. I appreciate it.
M. Kevin McEvoy - Chief Executive Officer & Director: The segment as a whole.
Joseph D. Gibney - Capital One Securities, Inc.: Okay. All right. Thanks, guys. I appreciate it.
M. Kevin McEvoy - Chief Executive Officer & Director: Yeah.
Operator: The next question is from Brad Handler from Jefferies.
Bradley Philip Handler - Jefferies LLC: Thanks. Hey, guys.
M. Kevin McEvoy - Chief Executive Officer & Director: Hey, Brad.
Bradley Philip Handler - Jefferies LLC: I guess a couple of different unrelated questions, but perhaps I can start with the ROV segment as well. Can you speak to how you – how could you characterize the opportunities to continue to save costs? I understand – maybe some color around what you're doing. I understand you mentioned that you were taking some costs out of the base for the second half of this year. If you could give us a little color on that, and then I guess just kind of clarify that – or give us a sense of how much further you can continue to take it or do you start to bump up against, hey, we're going to maintain a presence in this region, and therefore, we really can't cut costs further?
M. Kevin McEvoy - Chief Executive Officer & Director: I think that is probably more in line with the color that we've given in the past and that certainly is true. I mean, we are starting to cut a lot closer to the bone right now, obviously, and at some point, depending on the – however long this timeline continues with declining demand on the rig side and whatnot, I mean, we are going to start bumping up against that. But as I said earlier, I hope that the rig market is near its bottom. There probably are some rigs yet to go that will come off contract and be stacked, but I don't think the general consensus is that there's too much further to go in that regard. And once that stabilizes, I think that should help matters, for sure. It certainly help in being able to predict what our business cost base is going to be going forward and help us in that regard. And then the vessel part of it is the next – is the other big variable that needs to pick up with increased OpEx spending. I mean, that's an OpEx thing there for us, and we're still waiting for that to happen.
Bradley Philip Handler - Jefferies LLC: Sure. Sure. And the vessel then does – as I know several of my predecessors have mentioned, I mean, the vessel thing does seem like an interesting prospect for you guys to carve out some new share. I guess on that, with Heerema, just again, because it helps us understand the opportunity set a little bit perhaps, were they owning and operating their own ROVs or did you displace a competitor?
M. Kevin McEvoy - Chief Executive Officer & Director: No. We displaced a competitor.
Bradley Philip Handler - Jefferies LLC: Okay. Got it. Thank you.
Alan R. Curtis - Chief Financial Officer & Senior Vice President: Yeah. Along with some new vessel opportunities.
Bradley Philip Handler - Jefferies LLC: Right. I think the Balder was brand-new, right, as I think you pointed out. Okay. A separate question and this is maybe asking you to do some of the work that I think we're supposed to do on our side, but have you all tracked just how many vessels, relevant vessels, have come in to the Gulf of Mexico, and therefore, sort of how the supply picture has changed over the last 12 or 18 months?
M. Kevin McEvoy - Chief Executive Officer & Director: I mean, we track that, I suppose. The Gulf of Mexico guys that are in that business certainly are very aware of that, and they're looking at those vessels all the time. Certainly, a couple have gone away, but there's still over capacity relative to demand right now and that's what is obviously causing the...
Bradley Philip Handler - Jefferies LLC: Sure.
M. Kevin McEvoy - Chief Executive Officer & Director: ...price challenges that we have. But utilization is everything in that business, and we're certainly more than holding our own in that regard. So, I mean, we just follow that trail until demand picks up.
Marvin J. Migura - Executive Vice President: Brad, our projects guys track that. They know every detail about it, but we don't in corporate. And then the other thing that I want to add to Kevin's comment is, remember, it's not just the boat. And while we're getting good or better than most utilization is because of all the integrated services that we offer including Services and Rentals, ROV, and project management, and survey, inspection, all the above.
Bradley Philip Handler - Jefferies LLC: Right. Right. No. Fair point. That's good for us to keep in mind too. Okay. All right, thanks, guys. I will turn it back.
Operator: The next question is from David Smith from Heikkinen Energy Advisors.
David Christopher Smith - Heikkinen Energy Advisors LLC: Hey. Thank you and good morning. You gave us second half 2016 Product margin guidance. But looking beyond 2016, do you see the potential to right-size operations to mitigate the fixed cost absorption issues and return products to double-digit margins without significant new order growth, or is this just a single-digit margin business until deepwater FIDs really start to come back?
Marvin J. Migura - Executive Vice President: I don't think we really need deepwater FIDs to occur.
M. Kevin McEvoy - Chief Executive Officer & Director: Yeah. Exactly.
Marvin J. Migura - Executive Vice President: I think we need throughput. It could be brownfield.
M. Kevin McEvoy - Chief Executive Officer & Director: They don't care where it comes from. (43:02)
Marvin J. Migura - Executive Vice President: So it doesn't have to be major project FID. But we need...
Alan R. Curtis - Chief Financial Officer & Senior Vice President: Volume. (43:09)
Marvin J. Migura - Executive Vice President: To absorb it, I mean we can go back to an earlier question about maintaining a presence in ROV or vessel based. With the plant, you have to maintain a presence because you have a physical asset and people there. So, it's that fixed cost that eats unless you have enough throughput to absorb it. So, I think we all agree it's a throughput issue.
M. Kevin McEvoy - Chief Executive Officer & Director: Right. And at some point, you can't cut any more without destroying your business. And so, that's the way it is.
David Christopher Smith - Heikkinen Energy Advisors LLC: Understood and appreciated. So, going to the ROVs, drill support demand looked relatively flat sequentially despite the working or contracted floater count globally down 8.5%. And I was just hoping to understand that disconnect, whether that's likely just a market share issue within the quarter or if there was any other dynamic that was different to the last several quarters?
Marvin J. Migura - Executive Vice President: No other dynamics. It really is just a function of whose ROV is on the rig that...
M. Kevin McEvoy - Chief Executive Officer & Director: Stops working.
Marvin J. Migura - Executive Vice President: Yeah, stops working. And so there was – I mean, yeah, it was – I understand where you get it, if you take the number of days times the fleet mix, you don't see a significant change in drill support days. And it'll vary from time to time, but that needle is not moving much of that more than 55% market share on drill support, and we don't expect it to.
David Christopher Smith - Heikkinen Energy Advisors LLC: Appreciate it. If I could squeeze in one last. Just thinking about the full scope of the work associated with the field support contract with BP off Angola. It clearly extended well past the associated vessel revenues, the project management, the engineering ROV, DPS (45:00) IWOCS, et cetera. Can you help us think about how that contribution, excluding the vessel revenue, adjusts in the transition from two vessels to one?
M. Kevin McEvoy - Chief Executive Officer & Director: No, we're not going to go to that sub-level detail.
David Christopher Smith - Heikkinen Energy Advisors LLC: Figured I'd try.
Alan R. Curtis - Chief Financial Officer & Senior Vice President: It is significantly lower.
M. Kevin McEvoy - Chief Executive Officer & Director: Sure, I mean...
Alan R. Curtis - Chief Financial Officer & Senior Vice President: Across the board.
M. Kevin McEvoy - Chief Executive Officer & Director: Right. I mean, you remove a vessel and you don't need as many engineers or project people and the rest of it, so I mean, there's obviously a negative effect there, but that's...
David Christopher Smith - Heikkinen Energy Advisors LLC: Yeah. I was trying to hone in on if it was a one-to-one or something different. I appreciate the time.
M. Kevin McEvoy - Chief Executive Officer & Director: Yeah. Thanks.
Operator: The next question is from Matt Marietta from Stephens.
Matt Marietta - Stephens, Inc.: Hey, guys. Thanks for letting me back in. Kind of wanted to hit on the discussion there on the Products again, throughput being the issue. But can you maybe just help us understand perhaps what the bare bones level of fixed cost there in that business, and that variety business is? And maybe do you think you can defend positive margins there or maybe help us kind of think about that?
Marvin J. Migura - Executive Vice President: Matt, I'm going to field this one. No. We can't give you an idea of fixed cost. We're addressing our plant staffing based on anticipated throughput, but so much of it is – I mean, as variablized as we try to make it, there is a substantial amount of fixed cost associated with any manufacturing facility and we're not going to get that – I don't even know how it would be helpful if we could give you the plant cost, because then we'd need to get you throughput through each plant and where the absorption is different and I think at the end, there will be a lot of data and not much benefit.
Alan R. Curtis - Chief Financial Officer & Senior Vice President: And we'd never get to the magic mix that keeps all three plants at that threshold.
Matt Marietta - Stephens, Inc.: Okay. And do you think you can defend positive margins in the segment?
Marvin J. Migura - Executive Vice President: It's going to be a question of throughput. At the segment level, it's going to be a question of mix between – because what we see is, and Kevin explained, the Service and Rentals is short cycle. It's associated with brownfield activity. We expect to see that picking up in 2017 even if there are no FIDs. So, it's not to say that we can have a positive contribution if we don't have any Manufactured Products throughput because then the absorption issue becomes overwhelming. But depending upon the mix and depending upon the level of Service and Rentals and throughput, we're hopeful that we can maintain positive margins.
Matt Marietta - Stephens, Inc.: Got it. Thank you.
Operator: The next question is from David Smith from Heikkinen Energy Advisors.
David Christopher Smith - Heikkinen Energy Advisors LLC: Thanks for letting me back in. Just a quick follow-up on the Projects side. If I'm doing the math right, it looks like average starter vessel expenses are around $4.5 million to $5 million per quarter. Just wanted to check if that was in the ballpark? And just the follow-up related question is, given the Olympic Intervention IV is off-charter this month, is it fair to think that this will have a net negative contribution to the projects in the second quarter?
Alan R. Curtis - Chief Financial Officer & Senior Vice President: We're not going to comment on...
Marvin J. Migura - Executive Vice President: David, I don't know – we're not going to comment on vessel by vessel, for sure. But what was your average? Tell me how you got to that – I'm missing your point.
David Christopher Smith - Heikkinen Energy Advisors LLC: Looking in prior filings about the future cost associated with vessel charters and dividing that by the number of days committed, looks like it worked out to around $50,000, $52,000 a day. So, I was trying to back into kind of the margin relief that – the cost relief that would come from not renewing the Olympic Intervention.
M. Kevin McEvoy - Chief Executive Officer & Director: I mean, it's all associated with the utilization, right? And so, the amount of charter hires that we have to pay, not to mention the other expenses of all the other stuff that we have on the vessel of our own is – if it's sitting at the dock, we'd get zero revenue and you got that cost there. So, removing the charter as an obligation does relieve us of the cash cost of that by the day sitting at the dock. We still have – we may still keep all of our stuff on there, hoping to get call-out work, but we remove that other obligation, so that should be a help.
David Christopher Smith - Heikkinen Energy Advisors LLC: Right. Right. And that's what I was trying to zero in on.
Marvin J. Migura - Executive Vice President: Right. And, I mean, I think – you're on to something that I hadn't focused on. I mean, we can't quantify how much it's going to be because one of the things that we may do is keep if the vessel owner wants to, and keep the boat in the Gulf of Mexico on a back-to-back call-out basis, we might entertain that if there's enough work for it. That way, though, the cost would become very variablized, and I have to go dig into the same 10-K liabilities that you're looking at to do the math. I don't know the day rate for the Olympic IV off top of my head.
M. Kevin McEvoy - Chief Executive Officer & Director: And I don't think we would really want to say what that is
Marvin J. Migura - Executive Vice President: No.
M. Kevin McEvoy - Chief Executive Officer & Director: Because that is competitive pricing information or whatever. I mean, so we'd give an aggregate, and you don't know what each particular boat is, and the particular boats, some of them trade in different segments of the market in the Gulf of Mexico and so we don't want to put too much more granularity around that.
David Christopher Smith - Heikkinen Energy Advisors LLC: The expiry of that charter is going to be a – it looks like it's going to be a positive margin impact for...
Marvin J. Migura - Executive Vice President: We believe that. Absolutely. We threw that in the call notes for that purpose. Yeah.
David Christopher Smith - Heikkinen Energy Advisors LLC: Yeah. Good to know (51:33). Thank you.
M. Kevin McEvoy - Chief Executive Officer & Director: Thank you.
Operator: And there are no further questions at this time. I will turn the call back over to the presenters.
M. Kevin McEvoy - Chief Executive Officer & Director: Thank you. Since there are no more questions, I'd like to wrap up by thanking everyone for joining the call. And this concludes our second quarter 2016 earnings conference call. Have a great day.
Operator: This concludes today's conference call. You may now disconnect.